Operator: Greetings and welcome to the Weyerhaeuser’s Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Beth Baum, Vice President of Investor Relations and Enterprise Planning. Thank you, Ms. Baum. You may begin.
Elizabeth Baum: Thank you, Rob. Good morning, everyone. Thank you for joining us today to discuss Weyerhaeuser's second quarter 2021 earnings. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our press release and on the presentation slides concerning the risks associated with forward-looking statements, as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures and a reconciliation of GAAP can be found in the earnings materials on our website. On the call this morning are Devin Stockfish, Chief Executive Officer; and Nancy Loewe, Chief Financial Officer. I will now turn the call over to Devin Stockfish.
Devin W. Stockfish: Thank you Beth. Good morning everyone and thank you for joining us today. This morning Weyerhaeuser reported second quarter net earnings of $1 billion or $1.37 per diluted share on net sales of $3.1 billion. I'm extremely proud of our team's accomplishments in the second quarter. Their collective efforts delivered the company's strongest quarterly adjusted EBITDA on record at $1.6 billion, surpassing last quarter's record by 43%. Our year-to-date adjusted EBITDA is almost $2 billion higher than the first half of 2020. Wood products delivered another record quarter at $1.4 billion of adjusted EBITDA surpassing last quarter's record by 56%.  Turning now to our second quarter business results. I'll begin the discussion with timberlands on Pages 5 through 8 of our earnings slides. Timberlands earnings and adjusted EBITDA improved by approximately 5% compared with the first quarter. In the West adjusted EBITDA increased slightly in the second quarter. Western domestic markets remained favorable despite the decline in lumber prices late in the quarter and a healthy supply of logs to the market. Demand remains strong as mills took precautionary measures to bolster log inventories in response to an early fire season resulting from persistent dry conditions and a period of extremely high temperatures. This steady demand pull drove our sales volumes modestly higher during the second quarter.  Salvage operations from last year's fires in Oregon are continuing to supply an abundance of smaller diameter logs to the market. Consequently, prices for smaller diameter logs in Oregon have experienced some downward pressure. As a result of this dynamic, our domestic sales realizations were slightly lower in the quarter. To date, we have harvested nearly two thirds of our planned salvage volume in Oregon. Salvage productivity has slowed somewhat as warm summer weather arrived early and we began to transition salvage harvest operations in the higher elevation tracks which generally have lower productivity and higher operating costs. Forestry and road costs were seasonally higher during the quarter as we do a significant amount of this work during the warmer summer months.  Turning to our export markets, in Japan and China demand for our logs remained strong and our sales realizations increased significantly. Global logistics constraints particularly with respect to shipping container availability and strong North American lumber prices continued to impact the availability of imported lumber into Japan and China. This has resulted in strong demand for locally produced lumber and increased demand for imported logs. Additionally, a ban on Australian log continues to reduce the supply of imported logs to China. Our China sales volumes increased in the quarter as we intentionally flexed volume from the domestic market to capitalize on strong demand signals in pricing from our Chinese customers.  Moving to the South, Southern timberlands adjusted EBITDA increased by approximately 10% compared with the first quarter. Southern saw log markets improved due to record lumber and panel pricing for most of the quarter and supply limitations resulting from persistent wet weather. Fiber markets also strengthened as mill inventories remained lean and wet conditions constrained supply. As a result, our sales realizations were slightly higher than the first quarter. Fee and sales volumes were significantly higher in the quarter despite impacts from multiple heavy rain events across the go [ph] South. The wet weather in the quarter did however limit our ability to catch up on delayed harvests from the first quarter snow and ice events. Log and haul costs increased slightly and forestry and road costs were seasonally higher. Although Southern export represents a small component of our operations, we continue to see strengthening demand signals from China and India resulting increases in both sales volumes and realizations in the second quarter. However, container availability and increased freight rates continued to be notable headwind. In the North adjusted EBITDA decreased slightly compared to the first quarter due to significantly lower sales volumes associated with seasonal spring break up conditions partially offset by significantly higher sales realizations.  Turning to real estate, energy, and natural resources on Pages 9 and 10. Earnings and adjusted EBITDA decreased by approximately 5% compared with the first quarter due to timing of real estate sales and mix of properties sold but we are significantly higher than the year ago quarter. Earnings increased by more than 230% compared with the second quarter of 2020. Demand for HBU properties has been very strong year-to-date and average price per acre remained elevated compared to historical levels. We continue to capitalize on this market and have been increasing our prices in many regions. This is resulting in a steady stream of high value transactions with significant premiums to timber. In energy and natural resources production of construction materials increased as demand remained strong during the quarter.  Wood products Pages 11 through 13. Wood products earnings and adjusted EBITDA improved by almost $0.5 billion compared with the prior quarter. Our lumber, OSB, and distribution businesses all established new quarterly adjusted EBITDA records in the second quarter. These exceptional results were delivered not withstanding ongoing challenges with transportation and resin availability in the quarter. I want to specifically call out and thank our supply chain and logistics teams for their tremendous work in helping us successfully navigate these headwinds.  In the lumber market average framing lumber composite pricing increased 29% compared with the first quarter. Lumber demand was strong during the first half of the quarter but began to soften as do it yourself repair and remodel activity weakened towards the latter part of May. The drop off in the do it yourself segment, largely a result of changing consumer spending habits coming out of COVID restrictions and to some extent record high lumber prices resulted in lower sales activity and higher inventories at the home centers and treaters. As a result, lumber prices peaked in late May and retreated at a rapid pace for the remainder of the quarter. Although inventories at home centers and treaters increased, inventory levels at dealers and distributors serving the home building and professional repair and remodel segments remain below normal at quarter end. Buyer positioning remains cautious with the reluctance to build meaningful inventory positions and dynamic pricing environment.  Adjusted EBITDA for lumber increased $291 million or 57% compared with the first quarter. Our sales realizations increased by 25% and sales volumes increased moderately. Log costs increased slightly in the second quarter, primarily for Canadian logs. OSB markets experienced historic strength in the second quarter as demand continued to outpace supply. Inventories remain lean throughout the channel and supply constraints persisted due to resin availability and transportation challenges. As a result, pricing continued to accelerate to record levels before peaking at the end of the quarter. Average OSB composite pricing increased 52% compared with the first quarter. OSB adjusted EBITDA increased by $172 million or 57% compared to the first quarter. Our sales realizations improved by 48%. Production and sales volumes decreased modestly and unit manufacturing costs increased primarily due to a planned extended maintenance outage to complete a capital project at our Elk and OSB mill. Fiber costs were slightly higher in the quarter, primarily for Canadian logs. Engineered wood products adjusted EBITDA increased $11 million compared to the first quarter, a 26% improvement. Sales realizations improved across all products, and we continue to benefit from the price increases announced over the last year for solid section and I-joist products. This was partially offset by higher raw material costs for oriented strand board webstock, resin, and veneer. Sales and production volumes increased for solid section and I-joist products. In distribution, adjusted EBITDA increased $36 million compared to the first quarter, a 92% improvement as strong demand drove higher sales volumes for most products, and the business captured improved margins. With that, I'll turn the call over to Nancy to discuss some financial items and our third quarter outlook.
Nancy S. Loewe: Thank you, Devin and good morning everyone. I'll begin with our key financial items, which are summarized on Page 15. We generated over $1.3 billion of cash from operations in the second quarter and over $2 billion year-to-date. These are our highest first half operating cash flows on record. Adjusted funds available for distribution or adjusted FAD for year-to-date second quarter 2021 totaled nearly $1.9 billion with approximately $1.2 billion related to second quarter operations as highlighted on Page 16. Year-to-date, we have returned $255 million to our shareholders through payment of our quarterly based dividend. As a reminder, we target a total return to shareholders of 75% to 80% of our annual adjusted FAD. From the case of 2021, the majority will be returned to the variable supplemental component of our new dividend framework.  Turning to the balance sheet, we ended the quarter with approximately $1.8 billion of cash and just under $5.3 billion of debt. During the second quarter we repaid our $225 million variable rate term loan due in 2026 and incurred no early extinguishment charges. We plan to repay $150 million 9% note when it matures in the fourth quarter. Looking forward, key outlook items for the third quarter and full year 2021 are presented on Pages 17 and 18. In our timberlands business we expect third quarter earnings and adjusted EBITDA will be approximately $25 million lower than second quarter.  Turning to our Western timberland operations, domestic mills ended the second quarter with ample inventory. We anticipate slightly lower domestic log sales realizations in the third quarter absent significant fire related disruptions. This is primarily due to modestly lower pricing for smaller diameter saw logs. We expect large log pricing will remain favorable due to limited supply and strong export demand. We anticipate seasonally, higher forestry and road spending as those activities accelerate with favorable weather condition. Typical of the drier warmer summer months, harvest activity will focus on higher elevation tracks where operations are less productive, resulting in slightly lower fee harvest volumes and higher per unit log and haul cost.  Moving to the export markets, in Japan log demand remained strong. We expect our third quarter sales realizations and log sales volumes to be generally comparable to the second quarter. In China, we anticipate significantly higher sales volumes and slightly higher sales realization. Although Chinese log demand generally moderates during the summer rainy season, we expect demand for U.S. logs will remain strong as imports from other countries remain constrained. In the South, we anticipate significantly higher fee harvest volume as well as higher per unit log and haul cost during the third quarter due to a seasonal increase in thinning activity. Although our saw log and fiber log pricing should be comparable to the second quarter, we expect average sales realizations will be slightly lower due to a higher percentage mix of fiber logs. We also expect seasonally higher forestry and road cost as most of this activity is completed during these drier summer months.  In the North, sales realizations are expected to be lower due to mix while fee harvest volumes are expected to be significantly higher as we come out of the spring break up season. I'll wrap up the timberlands outlook with a comment on the sale of our North Cascades timberland, which was completed on July 7th. In the third quarter, we will record a cash inflow of $261 million and a gain of approximately $30 million related to this transaction. The gain will be reported as a special item within the timberland segment.  Turning to our real estate, energy, and natural resources segment, we expect third quarter adjusted EBITDA will be comparable to the third quarter 2020, but earnings will be approximately $20 million higher than one year ago due to a lower average land basis on the mix of properties sold. As Devin mentioned, we continue to capitalize on exceptionally strong demand and pricing for HBU properties. In addition, we've seen strong year-to-date production of construction materials. As a result, we are increasing our guidance for full year 2021, adjusted EBITDA to $290 million. We now expect land bases as a percentage of real estate sales to be approximately 30% to 35% for the year.  For our wood product segment, third quarter benchmark pricing for lumber has significantly reduced from record levels, and benchmark pricing for oriented strand board has also recently declined. As a result, we are expecting adjusted EBITDA will be significantly lower in the third quarter. For lumber, our quarter-to-date realizations are approximately $425 lower and current realizations are approximately $535 lower than the second quarter average. For OSB, our current realizations are still significantly higher than the second quarter average due to the length of our order files. Our quarter-to-date OSB realizations are approximately $155 higher, and current realizations are approximately $125 higher than the second quarter average. As a reminder, for lumber every $10 change in realization is approximately $11 million of EBITDA on a quarterly basis. And for OSB, every $10 change in realization is approximately $8 million of EBITDA on a quarterly basis.  For lumber, as prices have retreated we expect higher sales volumes as inventories at home centers and treaters normalize and demand signals improve for do it yourself activity. We are also anticipating improved unit manufacturing costs during the quarter. We anticipate this would partially offset by slightly higher costs for Canadian and Western logs. For oriented strand board, we expect demand will remain favorable due to continued strength and new residential construction activity. We expect improved operating rates following the second quarter outage to complete the capital project at our Elk and OSB mill previously mentioned. With increased operating rates, we anticipate higher third quarter sales volumes and improved manufacturing costs. These improvements are expected to be partially offset by higher fiber cost.  For engineered wood products we expect higher sales realizations for our solid section and I-joist products as we continue to benefit from previously announced price increases. In May 2021, we announced another increase which ranges from 15% to 25% and will be captured over the next several quarters. We anticipate significantly higher raw material costs primarily for oriented strand board webstock as the cost of webstock lags benchmark OSB pricing by approximately one quarter. For our distribution business, we're expecting the recent declines in commodity pricing will result in reduced margins and significantly lower adjusted EBITDA. Business results are expected to remain strong compared to a historical perspective. I'll wrap up with a couple of additional comments on our total company financial items. For each year in the second quarter, we finalized prior year end estimates for pension assets and liabilities. As a result, we recorded $138 million improvement in our net funded status as well as a reduction in our non-cash, non-operating pension and post-employment expense. Slide 18 includes our current full year outlook for pension and post-employment items. It also shows a $40 million capital expenditure increase we announced back in June for some additional high return projects across our businesses.  Turning to taxes, we now expect our effective tax rate to be between 20% to 24% based on the forecasted mix of earnings between our REIT and taxable REIT subsidiary. The $90 million tax refund associated with our 2018 pension contribution has now been approved and we expect to receive the refund in the third quarter of 2021. So now I will turn the call back to Devin and look forward to your questions. 
Devin W. Stockfish: Great, thanks Nancy. Before wrapping up this morning I'll make a few comments on the housing in repair and remodel markets. U.S. housing activity continues at an impressive pace with total housing starts in the second quarter averaging 1.6 million units on a seasonally adjusted basis and total permits averaging 1.7 million units. Single family starts in June reached their highest monthly level since May of 2007. Notwithstanding a slight pullback in the second quarter as home builders navigated supply chain disruptions, year-to-date momentum is strong and our customers continued to expect robust housing activity over the back half of the year. Our near-term and longer-term housing outlook remains very favorable and is bolstered by encouraging long-term housing demand fundamentals.  Turning to repair and remodel, although demand for small do it yourself projects has softened from the elevated levels established in the pandemic, demand for larger professional remodels remain healthy. Our long-term outlook for repair and remodel continues to be favorable supported by an aging housing stock, rising home equity, and low interest rates. In closing, we delivered our best financial performance on record in the second quarter and we're well positioned to capitalize on favorable demand fundamentals for U.S. housing. Looking forward, we remain focused on industry leading performance across our operations and are on track to deliver our 2021 OPEX target of $50 million to $75 million. Our balance sheet is extremely strong and with year-to-date adjusted FAD of nearly $1.9 billion, we expect to return significant amounts of cash to shareholders through the variable supplemental component of our new dividend framework.  And finally I'm pleased to announce that we will hold a Virtual Investor Day on September 22nd. Nancy, Russell, and I will give an update on our key longer-term strategic capital allocation and sustainability initiatives. Event details and registration instructions will be included in a press release later this morning. We're excited to share that update and we'll look forward to speaking with you all again in September. And now I'd like to open up the floor for questions. 
Operator: [Operator Instructions]. Our first question comes from Anthony Pettinari with Citi. Please proceed with your question. 
Anthony Pettinari: Good morning. Devin, can you talk a little more about kind of how you see the lumber market currently, I mean price declines seem to have moderated over the last week or so, you talked about inventories below historical levels, and I would think that prices are below cash costs for a decent chunk of your competitors, I'm not sure if you would agree with that? And specifically you talked about anticipating a pick-up in demand in 3Q. I am just wondering are you seeing that right now at the end of July or is that something that you anticipate to see in August or September, just wondering if you can give any more color there? 
Devin W. Stockfish: Absolutely. Well just a little bit of context and then we'll address the different pieces of the question. Obviously lumber and OSB pricing for that matter reached historically high levels this spring and that was really a function of housing, repair and remodel just being very strong through most of the spring into May. We've seen the pricing come off significantly here recently. Although I will mention pricing is still reasonably strong by historical measures. I'd say what's been going on of late is really primarily a function of the smaller do it yourself market. We've seen that over the past couple of months come down 15% to 20% in terms of our sales into that market in June and July relative to the spring. So that's caused a little bit of inventory to build up in the home improvement, Weyerhaeuser -- warehouse and treater segments, which, that's really been sort of the pricing pressure as the producers look to move that product that would have gone into those markets to other customers. In terms of how we're looking at the current situation and as we head into fall, I think the do it yourself market should be picking back up here. In fact, even just this week, we've seen a little bit of a pickup there in terms of sales activity into the home improvement warehouse and the treater. So, I think that's going to start picking up and we would expect that to accelerate.  As we get into the fall, you'll see cooler weather, you'll see kids going back to school, vacation season will be winding down. And frankly I think just the moderation in lumber prices. I suspect some of the downtick and the do it yourself was a little bit of sticker shot with the high lumber prices and all the press that that was getting. So, in terms of the pricing environment, we think first of all, wouldn't be surprised at all to have seen the lumber prices over-correct a little bit. We've seen that in the past when prices have come down. We're expecting that to settle into a range that is certainly higher than historical levels albeit probably not at the record levels that we saw earlier in the spring. A couple of comments just on inventory, I think it's differential depending on what part of the channel you're talking about. I think in the home improvement warehouse and treater segment, it's probably still a little bit elevated relative to normal, but when you look at the builder and the dealer portions, I think that's probably a little lower than normal as they really haven't wanted to build inventory in a dynamic pricing environment. I will say with respect to your question about cash costs, certainly I think in British Columbia with the increase in log prices and some of the other dynamics there, it's entirely possible that a segment of the BC manufacturers have gone below cash costs where pricing went. So we'll see how that develops. I do think overall probably the cost floor in North America has gone up a little bit because of that dynamic relative to history.  So again, we're expecting residential construction should remain strong. The pro segment of repair and remodel should stay strong and that do it yourself segment should start picking up here as we head into fall. So overall we're expecting pricing to settle into a new range that's still very strong pricing by any historical context.
Anthony Pettinari: Okay. That's very helpful. And then just shifting gears, can you talk about the market for higher quality timberlands, I mean, we saw a pretty big transaction announced this morning, I think at an attractive price. It seems to be a lot of M&A just sort of accelerating across sectors. Can you talk about valuations you're seeing for high quality industrial timberlands, have they risen versus maybe 2019, is there any ESG premium that you're seeing creep in, and should we think about Weyerhaeuser as sort of a net buyer, net seller in this environment?
Devin W. Stockfish: Well, I think no doubt we're starting to see the activity pick up a little bit. It was a little slow I'd say for the first half of the year, but certainly we see that picking up. In terms of valuations, we've definitely seen a pickup in interest in quality timberland, and that's a statement both in the West and in the South. You can see that in some of the valuations of recently announced deals. I think there is a lot of interest in this space, the ESG piece, the carbon piece, I think that may be playing into it a little bit. But I do think certainly we're seeing those valuations tick up a bit. Certainly that's what we're seeing in the market. With respect to our activity, as we've always said, we are always looking to optimize and improve the quality of our timberlands to grow the value of our timber base, that's something we're doing day in, day out. And sometimes that's on the sell side, but that's also on the buy-side. You've seen us with Oregon and Alabama, a couple of transactions of late. So we're always looking, we look at every deal that comes through. I think we'll continue to be active in that space. Russell and his team are looking at deals, are having lots of conversations, but you've got to be disciplined. And so we'll remain disciplined and execute on deals that make good financial sense, and that are like value accretive for us. So, we expect to be active, we'll continue to look in terms of just growing and optimizing and improve on our timber base.
Anthony Pettinari: Okay. That's helpful. I'll turn it over. 
Devin W. Stockfish: Thanks. 
Operator: Our next question is from George Staphos with Bank of America. Please proceed with your question. 
George Staphos: Thanks very much. Hi Nancy, hi Devin, hi Beth. Hope you're doing well. Thanks for taking my question. Congratulations on the quarter. The first question, I want to come back to something that Anthony had teed up. So, we've heard about dealers and distributors keeping their inventories low and something of a standoff, right, no one wants to order and then see just as that those sticks of lumber showing up for price to head lower yet as a dealer or distributor taking on the risk that prices and demand start to pick up on you and you're left with low inventories. What do you think will break that log jam, are you seeing any signs at all that the distributors and dealers are beginning to rebuild inventory or maybe not just because of where prices are going to be in this period of very, very low hand to mouth kind of ordering, which might not be the best thing for you, how do you see that shaking out?
Devin W. Stockfish: Yeah, well you're exactly right. That's the dynamic that plays out in our markets day in day out and has for a very long time. When you have pricing that's in a falling environment, people are going to be very cautious about building inventories. And I think what really starts to bring people back into the market is one of two things; first, they get a sense that you've really started to bottom out in terms of what's going on in the pricing environment. You look at what's going on today. In fact, the print last night it showed that we saw the smallest downtick in pricing that we've seen in 10 or 11 weeks. I think because of the fires in British Columbia, there's some other dynamics that are going on that perhaps are starting to give people the feel that we've reached a floor and things will start normalizing upwards. That usually gives people some confidence to start building inventory. The second thing is, it's always a matter of if you're in that space, you have to make sure that you're supplying your customers. And so, to the extent that you feel like there's any risk whatsoever, that you're going to have enough inventory to meet your customer demands, then people will have to come in. I say, with the fire situation, with some of the transportation challenges, what we're hearing from the builder customers in terms of their outlook for the back half of the year, it's a careful dance for them to make sure that they don't get too low and get caught short. And we've seen what happens when that dynamic is played out and that usually results in pricing picking up relatively quickly. So, I wouldn't say in terms of the dealer distributor network we've seen them really start to build material inventories at this point. Although, as I said earlier, we have seen the home improvement warehouse and treater start coming back. Even this week there's been a little bit of an uptick that we've noticed to the extent that that gains momentum and starts pulling inventory out of the system, you could see that dynamic change here relatively quickly.
George Staphos: Okay. Thanks for that, Devin. That's very helpful. I want to switch gears for my second question, kind of a two-part on timber. We've heard of some disruptions in China as they've been particularly with Tycon remediating, redoing the way they handle timber and from what we gathered inventories are relatively high. So I was a little surprised, pleasantly surprised that you're still seeing strong demand on timber into China. If you could explain why you think that's happening and to some degree why the U.S. is gaining share versus other regions? And then in the South, I want to say prices have begun to pick up on stumpage, a couple to three bucks a ton year-on-year, you're starting to see some commentary now that prices are lifting for more than seasonal reasons. Do you buy that or are you fairly skeptical of that and you think we're still in a flat perhaps deflationary period on a real basis in terms of timber? Thank you.
Devin W. Stockfish: Well thanks. I'll cover the China question first and, the China market has been very strong for us this year. Pricing has been well above what we've seen, really in a number of years. Part of that has been the supply chain challenges from European exporters, the ban on Australian logs, but all of those things have come together and really opened that market back up for North American logs. And so that's been a really nice market for us. As you mentioned the inventory levels at the ports at the end of June did go up 5.5 million cubic meters, which is up from May, take away at the ports is down a little bit overall. And I'll get to Weyerhaeuser specific comments momentarily, but there are a few things that are driving that George. I mean, first of all, there's always a little bit of a tick down in demand when you get into the hot rainy season. We see that every year into China, so that's a piece of it.  But there are also some regulatory issues. They've had some increased environmental inspections and the big one you mentioned, which is just a changing dynamic at the port, which is one of the largest log-in port facilities. And what they're doing is essentially they're trying to push the saw mills deeper inland. And so there's a little bit of a dynamic going on there where they're trying to move some of those mills away from that port. That happens from time to time in China, it will get resolved. We're still very optimistic that you're still going to need a lot of logs imported into that China market. So I think that's really more of a temporary issue. For us in particular, our Chinese customer log demand is still very strong. Pricing is strong. And so we're actually contemplating or expecting rather to have our export volume into China up quarter-over-quarter Q3 versus Q2. So a little bit of dynamic going on there just, from the items I mentioned, but we're still very positive about that market over the back half of the year.  Moving to the Southern market, obviously we have seen a bit of an uptick in pricing, and I think there are two things going on there. One of them is certainly the weather dynamic. When you see multiple wet weather events in the South that keeps the logging out of the woods for a period of time, which limits the supply to the saw mills and the pulp mills. And that's been going on over the course of the summer and the spring. And that's really particularly in the pulp log that's kept inventories pretty low for this time of year. And so that's been a piece of it. But I do think there's also an increment of that, which is in certain geographies, the new saw mill capacity that's come in. And we've been talking about this for several years. If you put 7 billion board feet of new capacity into the South in those wood baskets where that new capacity is coming, you see a tensioning effect. And so, I don't think it's going to be a hockey stick by any stretch of the imagination. It's just going to be slow, steady improvement across different geographies. And so, we think that's going to slowly tension a number of wood baskets and again, it's going to be specific to each geography but that will continue to happen. We've seen a number of mills announced even just recently and we expect that to continue here for the foreseeable future because the South is a great place to manufacture lumber.
George Staphos: Clearly. Thanks for the thoughts Devin. Good luck for the quarter. See you guys. 
Devin W. Stockfish: Thank you.
Operator: Our next question is from Mark Connelly with Stephens. Please proceed with your question.
Mark Connelly: It's been a long time since Weyerhaeuser has talked much about silver [ph] cultured gains. It used to be a big topic of conversation, but can you talk about how advances in silver culture are affecting the trends in your yield versus other issues that we talk about more like the weather?
Devin W. Stockfish: Yeah. I think part of the reason we don't talk about it as much is it's just become part of our day to day operation. And we have a R&D team that works on seedling improvements and different silver culture regimes to maximize the yield across our portfolio. So, you're probably right. We don't talk about it as much, maybe as we used to just because it's become part of our normal course. I would say that that is something I think over time we'll continue to be a competitive advantage for us. I think we do silver culture in forestry very well. We have a lot of great folks, a lot of PhDs, a lot of foresters that are working every day to make sure that we're driving the best yield across our land base. And so, I think it is an important part. I will say even when you think about climate change, for example, the ability of our teams to really make sure that we're using the right seedlings, for example, as the climate gets warmer and really targeting the seedlings that we're planting across our landscape, to ensure that we're maximizing the growth and the survival in a changing landscape. So it is definitely something that's still very important and the core to what we do, even if we're not talking about it on a day-to-day basis as much.
Mark Connelly: Helpful. Just switching gears, the home builders are talking a lot about affordability, about labor challenges, but I feel like we've been talking about this for a couple of years and we haven't actually seen big shifts in the way homes are being constructed. Do you think that those changes are actually coming anytime soon, and if they are is that going to require a change on your part or a big investment?
Devin W. Stockfish: Well, I think when we talk to folks throughout the supply chain, there is an awareness of the need to get more efficient on how we build homes. And that's at the home builders, that's at the big dealers, really across the board, just for a variety of reasons to make housing more affordable, number one, and to overcome some of the labor challenges that we've seen for many years. So there's a desire to make improvements there. But I think you're right, the improvements that we've seen to date have really been around the margins. I think it's tough to really fundamentally change how we build houses and that's going to be a slow process. And I'm not sure if we're having this conversation three, four, or five years from now, you're going to see a real material change in the way that we build homes. You'll probably see continued improvements around the margin. But it's an established supply chain in terms of how we build this -- build these homes. And so we just haven't seen big improvements to date, and I'm not sure I'm overly optimistic that that's going to change in the near-term. We have talked to our customers, we're very close with them and we're -- I think we're a very nimble supplier. So to the extent that we need to adjust how we do business to meet our customer needs, we'll be well positioned to do that. 
Mark Connelly: Thanks Devin, that’s helpful.
Operator: Our next question is from Susan Maklari with Goldman Sachs. Please proceed with your question. 
Susan Maklari: Thank you. Good morning, everyone. My first question is around your thoughts on capacity, especially as we think about the emerging kind of stories around the forest fires out West, and some of your peers taking capacity offline in Canada. Can you talk a little bit to your outlook for your business and the potential implications from these natural events as they do potentially come together?
Devin W. Stockfish: Yeah. So, I guess a comment here on the near-term, and then maybe some observation longer-term. In the near-term we, obviously we're seeing a fire situation in the West and we can speak to that here in a moment. No issues on our land, but certainly it's been a rough start to the fire season overall, British Columbia even worse, I would say at this point. Nothing in the near-term that we're expecting from our production, specifically around natural disasters or fires. That being said every year, we have to stay nimble and adjust as we see these things play out. And so, that's something on a day-to-day basis that can change, but nothing to announce here at this point. I will say over time, certainly the environment that we're seeing with forest fires in the West and some of the natural hurricanes, other events in the South, it's something that you have to bake into your long-term planning. And so, as we see British Columbia, for example, having another serious fire season, well obviously over time those trees are not available for wood products manufacturing. So as we think about our long-term planning, we do take that into consideration as we decide where are we going to put capital to work?
Susan Maklari: Okay, that's very helpful. My second question is you mentioned in your comments that you announced a 15% to 25% increase in your engineered wood products in May. As we think about the dynamics around alternative products like framing lumber, those prices coming down, can you talk to your ability to realize and sustain that pricing going forward?
Devin W. Stockfish: Well, the EWP market as a whole has been very tensioned. We primarily send that product into new residential construction. And so unlike lumber and OSB that have a little heavier component of repair and remodel, the EWP mark is primarily residential construction, which really hasn't seen any sort of noticeable slow down and nor are we expecting that for the back half of the year. So, the dynamic there is a little different than lumber and OSB. And part of the issue there too is with the run-up in OSB webstock prices, the resin challenges, veneer pricing, some of the input costs for making EWP have gone up quite a bit as well. So there's that balance in terms of the pricing for EWP to overcome some of those raw material costs. Absent something happening on the residential construction market I think we feel pretty good about capturing that pricing increase that we announced in May.
Susan Maklari: Okay, alright. That's very helpful. Thank you. Good luck. 
Devin W. Stockfish: Thank you. 
Operator: Our next question is from Mark Wilde with Bank of Montreal. Please proceed with your question.
Mark Wilde: Good morning, Devin, Nancy, Beth. Devin, I'd like to kind of come back to that last question, because we have seen virtually all of the big Western Canadian lumber producers take some production cuts over the last couple of weeks. They're pointing to fires, they're pointing to inventories, they're pointing to prices that are at or below net cash. And I'm also aware that there are some producers in the Pacific Northwest and the U.S. they have just gone to reduce scheduling in July. Can you talk about your activity levels in July in terms of both production in Canada and production on the West Coast of the U.S. and whether you've ratcheted back at all?
Devin W. Stockfish: Yeah, Mark, thanks for the question. We have not to date had any material reductions in our production in either the West or British Columbia. I would say and this is a general comment across the portfolio of manufacturing, we're probably dialing back in the sense that we're not trying to run those extra shifts and overtime hours that we were earlier in the spring when you had the pricing at all-time peak. So it's really dialed back to a more normal operating posture, but that's something that we look at closely all the time. The fire situation is something I do think we're keeping a close eye on, as I mentioned. No real impact star timberlands at this point and we've still got reasonable log decks across the Northwest in Washington and Oregon, but that's something that obviously we'll watch closely. British Columbia, we only have the one mill in British Columbia. I would say the fire situation up there is probably even a little worse than it is in Washington and Oregon. A lot of the logging activity has ceased at this point in BC, in a number of operating areas, just because of the fire situation. If that doesn't change at some point here in the near term, I think log availability at our BC mill is going to be challenged at which point we would obviously have to take some downtime, but at this point we haven't.
Mark Wilde: And just to kind of follow up on that BC situation, BC log costs, just from a formula standpoint are due to go up again in October. Can you talk about what impact that might have on your operations there, it's a pretty significant increase as I understand it? 
Devin W. Stockfish: Yeah. Significant increase, the one that was announced on July 1st, significant increase. And so log costs in BC have certainly gone up I think. That just adds additional challenge to the issue from a cost floor standpoint across the industry that we already had in BC. For us Weyerhaeuser specific we've been focused on having a low cost mill. I think we're probably top quartile if not top decile from a cost structure standpoint at our Princeton mill. But that being said, the log costs and other costs associated with operating BC have gone up and I think that's raised the cost forward. So, we at this price, I think we can still operate that profitably, but certainly it's getting closer even for our top costs mill or low cost mill rather. 
Mark Wilde: Okay. That's really helpful. Now for a follow-up, I just wondered, if we go back a couple of months ago and think about that variable supplemental that you had talked about paying in the first quarter of 2022, there seemed to be kind of a little bit of an opening that you might want to pay some of that in 2021. Is it safe to assume with what we've seen go on the markets the last couple of months, you're just going to wait until the first quarter of 2022 now?
Mark Wilde: Well, you're right. And that the new dividend framework anticipates the supplemental dividends typically going to be paid out in Q1 for the prior fiscal year. And, as you know, Mark, the primary reason there is just to ensure that we're matching that variable component to the cash flow that we're generating for the year. But we've said previously, we haven't definitively ruled out the possibility of some sort of interim supplemental dividend later in the year. And, really you think about where we are, we're in a little bit of a unique situation and that through the end of the second quarter, we've already generated nearly $1.9 billion of adjusted FAD. We have a very significant cash balance. And so that's something the Board is continuing to assess in terms of both those factors and how we see the rest of the year playing out. So, I'd still say at this point, we haven't ruled that out for at some point later in the year, but I would say even if we were to do that, which again the Board is going to consider over the back half of the year, we'd still expect the vast majority of that supplemental dividend for the 2021 cash flow would be paid out in Q1 of 2022.
Mark Wilde: Okay, alright, that's helpful. I'll turn it over. 
Devin W. Stockfish: Thanks.
Operator: Our next question is from Paul Quinn with RBC Capital Markets. Please proceed with your question. 
Paul Quinn: Yeah, thanks very much. Good morning guys. 
Devin W. Stockfish: Thanks.
Paul Quinn: Hey, I noticed you have increased your CAPEX budget. Just wondering if you could give us some more details on the major projects you've got there and Elk and I guess was an issue in Q2 in terms of production, is that project finished now to get to the volumes back in Q3?
Devin W. Stockfish: Yeah, so we did announce an increase in our 2021 CAPEX by 40 million, as we said. About 20 million of that is wood products, about 10 million or so is on the timberland side, and then we had some IT projects largely that were focused in our mills. So that's the breakdown. When you think about that 40 million, couple of things to keep in mind for context, if you go back to 2020 we did reduce our CAPEX budget in 2020. So we had a number of projects in the queue really across the wood products business, that we think will generate strong returns, continue to position the business to be low cost, highly efficient, very reliable. So, we have a variety of projects in the queue. They run the gamut from CDKs to upgrading sorter stacker, the Elk project which we completed was the forming line. So just a variety of projects across the mill, largely focused on de-bottlenecking, reducing costs, and improving reliability. So, there's not one thing necessarily that I would highlight in those projects really, as I said, it's just a broad range of projects. And it's all based on the individual mill roadmaps that we have to get each of our manufacturing assets up to top quartile performance.
Paul Quinn: Okay. And then if I turn over to the lumber capacity in North America, I mean, a number of projects have been announced. I've got, totaling sort of 1.7 billion in 2021 coming up and then another 2.2 billion in 2022. Is that level of capacity addition where you are in terms of future lumber pricing or supply into the marketplace?
Devin W. Stockfish: You know, it really doesn't for a couple of reasons. So when we think about the North American market as a whole, which is the way we typically think about it, we do think you're going to continue to see capacity coming into the U.S. South. We know that's a great place to manufacture lumber. I don't think you're going to see much in the way of new capacity coming into the Pacific Northwest, primarily just it's such a tension wood basket. And so I think the log costs associated with that probably will prevent folks from putting too much capacity there. And I do think over time, we're going to lose capacity in British Columbia because of the fiber availability issue that you're well aware of. So, I think on a net-net basis we will see more capacity overall in North America. But look, we need it, right. I mean, if you think about the amount of housing that we're anticipating over the next 5 to 10 years, we won't be able to cover that without some continued capacity additions across North America. And so, I think we will continue to see that. I think the demand signal will keep that more or less in tension. So it's not something that overly worries me at this point.
Paul Quinn: Okay. And then just lastly, I mean, you guys have put up back to back record quarters. Your stock is flat through the year here to date versus somebody like a Rainier which is up 25%, like what are investors missing here, any urgency at Weyerhaeuser to be able to do something to help shareholders here? 
Devin W. Stockfish: Well, as we always say, and I'll emphasize it here again, we are extremely focused on driving long-term value for our shareholders. And we do that in a number of ways. We're actively managing our portfolio to constantly improve the value of our underlying assets. You've seen a number of timber transactions to that effect, our CAPEX programs and wood products. We have an unrelenting focus on operational excellence and driving industry leading performance. You've seen that in terms of our OPEX results over the years, as well as our competitive positioning from an EBITDA margin. And I think importantly, over the last year we've made a series of capital allocation decisions that have really positioned us very well for the future. We've paid down over a billion dollars of debt, our balance sheet is strong, we have a new base plus variable supplemental dividend structure that is really going to enable us to return significant amounts of cash to shareholders over time. As you've seen with the FAD that we've generated through the first half of the year, we're positioned to deliver a very meaningful supplemental dividend payment in the first quarter of 2022. And that's something I think the market is probably just starting to digest the magnitude of what that variable dividend is going to be. So I think as our investor base and the market gets more familiar with the new dividend structure, starts to see the benefit as we pay out that variable dividend, we should start seeing the share price better reflect the underlying value.  The other thing I'd say is we're optimistic that the other actions that we're taking to position the company for the future, including our increased focus on natural climate solutions and some of the other business development opportunities are really going to be a catalyst to drive investor interest and enhance our market valuation over time. 
Paul Quinn: I hope you're right. Thanks a lot. 
Devin W. Stockfish: Thank you. 
Operator: Our next question is from Mark Weintraub with Seaport Global. Please proceed with your question. 
Mark Weintraub: Thank you. Maybe just first, carrying on the last question, the current dividend yield is a little over 2% because obviously you'd cut the ordinary dividend and then increase it but not nearly back to the prior level. So here your large supplemental dividends, can you kind of relay again sort of what would be the thought process on the core dividend, how much upside might there be to the core dividend, and do you think that investors haven't yet really embraced the new framework that you're using, and you're getting hurt by the fact that your core dividend level is low?
Devin W. Stockfish: But again, Mark, I think it's a relatively new dividend structure and so the market is digesting it. I would say with respect to the base dividend, a couple of things, as we've said we certainly do intend to grow the base dividend over time. That's a core part of our overall dividend philosophy and framework. We want that base dividend to be sustainable and supportable from the cash that we generate across our businesses over business cycles. So, the growth in the base dividend is largely going to be driven from the growth in our more stable timberlands and E&R businesses. And that can come from a variety of different angles, the organic growth in the business, taking costs out, disciplined acquisitions. The key is incremental cash flow that is sustainable across the bottom of market cycles. But certainly, we intend to grow that over time. And I would note, just as you think about the overall dividend framework, obviously, when the pricing environment is strong or even reasonable, we're going to generate significant cash flow that will get distributed out to the shareholders over and above that base dividend. So, I think the short answer to your question is, the market is still digesting how this is going to work. I think as they start to see the variable dividend come into play, as they start to see the base dividend grow over time, there will be an increase in appreciation for how this is going to work over time. 
Mark Weintraub: Okay, thank you. And two quick follow-ups on the demand for lumber in particular. So you had mentioned there have been decline in the do it yourself, but that the big renovation business you thought could hold up, order of magnitude how much of your lumber is going into the Do It Yourself typically, versus say the big renovation type projects?
Devin W. Stockfish: Yeah, so for us we have a big business into the home improvement warehouse segment. And so that can be up to -- in the South up to 30%, in the Pacific Northwest maybe slightly less than that. So it's a decent part of our overall lumber business. When you think about the market as a whole, the Do It Yourself segment is somewhere in the neighborhood of 20%. We think of overall repair and remodel demand. So, we do sell a lot into the big box stores, of course, but you look at that across the overall market, the Do It Yourself is a much smaller portion of the overall repair and remodel spend.
Mark Weintraub: Okay, so just to make sure I understood that So, Do It Yourself is like half of the repair remodel or it's 20% of the 40%.  [Multiple Speakers]
Devin W. Stockfish: Yeah, when you think about repair and remodel spend in total, the Do It Yourself segment we think is about 20%. Those numbers are hard to come up with in terms of a concrete look, but I think that that estimate is borne out from some of the stuff we've seen from the Harvard Joint Center as well and some of the other sources that we look at. So we triangulate that, and we think it's about the 20%.
Mark Weintraub: Okay. And you mentioned kind of housing builders still quite optimistic. And certainly they got a lot of backlog and a lot of homes to build. That said that they're confronting supply chain issues, etc. Are those supply chain issues creating any impact, you think, on the demand that you're seeing maybe stretching things out, as opposed to killing it but are you seeing negative impact because of the supply chain issues affecting the builders?
Devin W. Stockfish: Yeah, I think that's been the primary issue. To the extent that you've seen slowdown in building, I think the largest reason behind that has been the building products, supply chain issues. And so when you go and talk to the builders, what we hear is they're having troubles getting everything from appliances, to paint, to windows really just it runs the gamut. And I think, on some level, they've slowed the sales activity a little bit to try to catch up with some of that. But again, as we talked to those customers, they're optimistic for the back half of the year. The demand is there, notwithstanding some of the affordability challenges I think from the buyer community, but the demand for housing still is incredibly strong. And we think, based on those conversations and other discussions we've had with customers in the supply chain, that we're still going to build a lot of houses in the U.S. this year.
Mark Weintraub: Right, and just a thought, so there's no doubt they've slowed the sales pace. I guess the question was more, are you seeing that there is a slow in their production pace too right now or not so much?
Devin W. Stockfish: Yeah, I definitely think we've seen a little bit of that and the conversations that we've had you've heard anecdotes like we have to tell buyers that we can't sell them a house right now, we'll put them on a waitlist, they'll have to come back in a couple of months. So I think there has been a little bit of that. The magnitude of how much that's kind of hard to pin down exactly. But directionally, we think that's right.
Mark Weintraub: Okay, and then just real quick, in the past you've given us some time sort of a bracketing X pricing, what the impact of various changes in the wood products might be versus the prior quarter, is that something you can share with us or the magnitude, the improved efficiencies and things like that?
Devin W. Stockfish: Yeah, so I think, X price wood products EBITDA would be up quarter-over-quarter. I'm not going to give you a magnitude because I think just in terms of what's going on with the Home Improvement warehouse sales volumes, there's a little bit of question there as to whether that's up some or up materially. But certainly we expect sales volume to be up and we expect cost to be down. So X price EBITDA would be up in the quarter for wood products.
Mark Weintraub: Okay, thanks so much. 
Devin W. Stockfish: Thank you. 
Operator: Our last question comes from Kurt Yinger with D.A. Davidson. Please proceed with your question.
Kurt Yinger: Great, thanks, and good morning everyone. Just on the wood product side, sorry, on the timberland side, the fundamentals for lumber look pretty solid, export demand sounds pretty healthy, you lapped the salvage activity and you sound pretty optimistic on potential gains in Southern pricing. Do you think we're finally at an inflection point where that business can start to see a sustained improvement in profitability and what would you consider kind of the big factors that could get in the way of that?
Devin W. Stockfish: Yeah, so I would say, and I'm going to answer this by West and by South because they're slightly different dynamics going on in each market. In the West, we're seeing good pricing this year. It's a very tension wood basket and so as long as lumber demand and lumber pricing is reasonable, that's going to be a good strong business. We saw a little bit obviously of a dip in harvest levels as a result of the Oregon fires last year. We'll work through that salvage this year and you'll start to see the harvest levels kind of ticking up slowly here over time. So we feel really good about that business. I think it'll continue to be strong here for the foreseeable future. The South, obviously, we've had some disconnects between demand and supply, just in terms of the amount of inventory out in the woods coming out of the Great Recession and we've talked about that quite a bit. And I do think that there are markets within the South, geographies within the South that are starting to tension up a little bit. And that's largely a function of new capacity coming in, that's continuing to happen.  We've got, for example, several mills that have been announced the Bewer [ph] mill, the Idaho Forest Products Mill, Mississippi, the Toko Mill that was just announced in Louisiana, those are in good wood baskets for us. And as we continue to see that play out over time, I think that will just put pressure on pricing to slowly recover. I don't think that's going to happen overnight. It's a process it's going to play out over a number of years, but directionally I'm feeling good about where we're going there. From an overall margin standpoint, putting aside pricing, we are very focused on operational excellence. Our operating performance I think is very good in that business. But we're trying to improve every day, that's part of our OPEX program, and we put new targets out every year to increase the efficiency and lower costs. And so I feel good about the margin improvement opportunity there as well. So we've got good businesses, we've got good people, overall story around housing and repair and remodel demand to drive wood demand through the system, I think is positive. So we feel good about both of those businesses.
Kurt Yinger: Got it, okay, that's helpful. And maybe just looking at the second half for timberlands, looks like the harvest should be up pretty meaningfully from the first half to maybe 15% or so. Q3 profitability down versus Q2, sounds like there's some seasonal costs in there, is there any way as we look ahead to the fourth quarter, that we could see that incremental volume have kind of a greater overall impact on profitability?
Devin W. Stockfish: Yeah, so a couple things there. Q3, that's always a lower earnings quarter for us, because we do more forestry and road work in that quarter. And in the West, we typically move up the hill to higher cost elevation units or higher elevation units. So that's a typical seasonal pattern. In Q2, we did ramp up harvests, certainly relative to Q1, there has been a lot of rainy weather in the South. And so we weren't able to catch up as much of the Q1 issues that we saw with the ice storms as we had anticipated. I expect we'll get most of that up over the back half of the year, absent weather events that are hard to control. So you'll see the harvest activity pick up, cost activity is or costs typically in Q4 are a little better, because -- to reverse the dynamics I just mentioned. So, I can dimension it that way, but probably not just in terms of giving you a specific number. 
Kurt Yinger: Okay, no, that's great. Thank you. Alright, that's all I had. Appreciate the color.
A - Devin W. Stockfish: Alright. Well, I think that was our final question. So thanks to everyone for joining us this morning. And thank you for your continued interest in Weyerhaeuser. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time and we thank you for your participation.